Ken Hsiang: Hello. I’m Ken Hsiang, the Head of Investor Relations for ASE. Welcome to ASE Group’s First Quarter 2017 Earnings Release. All participants consent to having their voices and questions broadcast via participation of this event. Please refer to Page 1 of our presentation which contains our Safe Harbor notice. I would like to remind everyone on this call that the presentation that follows may contain forward-looking statements. These forward-looking statements are subject to a high degree of risk and our actual results may differ materially from these forward-looking statements. For the purposes of this presentation, dollar figures are generally stated in new Taiwan dollars unless otherwise indicated. For this earnings release, I will be going over the financial results. Joseph Tung, our CFO will be answering questions during our Q&A session. Following the event, our VP in-charge of Public Relations, Eddie Chang will be addressing the media in Mandarin Chinese. The spill update. ASE and SPIL submitted the required materials to the Taiwan Fair Trade Commission on July 29, 2016, and the TFTC issued a no objection letter in respect of the transaction. ASE and SPIL submitted the required materials to the Ministry of Commerce of the People’s Republic of China on August 25, 2016. MOFCOM formally accepted the parties’ notification materials on December 14, 2016. On April 12, 2017, ASE received MOFCOM’s notice extending its review to Phase III review. The parties are continuing to cooperate with the U.S. Federal Trade Commission’s investigation, and are working toward a goal of successfully completing the investigation as soon as possible. The first quarter of each year is typically our seasonally down quarter. The first quarter 2017 was not an exception. As we believe, our results would indicate most of the business lined up well with our expectations. However, there was a notable unforeseen factor that impacted our numbers. I’m sure you’re all aware of the recent strength in the new Taiwan dollar relative to the U.S. dollar. Let me give you a quick summary of how foreign exchange is part of our business. Our customers generally place orders with us denominated in U.S. dollars. Meanwhile many of our costs, such as labor and utilities are denominated in local currency. Even our machinery purchases though denominated in U.S. dollars are translated into local currency upon delivery and generate local currency depreciation. What this means is that, NT dollar appreciation will lower the value of U.S. dollar denominated sales, while maintaining the costs to produce such. Further from a hedging perspective, we target to be foreign exchange neutral at the balance sheet level. As such, we generally do not apply currency hedging concepts for the P&L level. Foreign exchange movements, especially sudden ones like this one have and will continue to have material impacts to our financial results. During the first quarter, the NT dollar was unusually strong, averaging NT$31.2 per U.S. dollar versus our expectation as of the fourth quarter earnings release of NT$32. This implies a fluctuation of greater than 2.5% from the time we issued our guidance. Please bear that in mind, when reviewing our financial results. For the first quarter, the foreign exchange rate negatively impacted our group level and IC ATM sales each by 1.2%. The foreign exchange rate fluctuation also negatively impacted our group level and IC ATM level gross margins by 0.4 and 0.6 percentage points, respectively. Looking forward, we are continuing to assume a stable but strong NT dollar environment. With that said, let’s start the financial review. Page 3, group quarter-over-quarter consolidated P&L. This quarter-over-quarter slide shows a fairly typical decline during our seasonally soft quarter. It is also worth noting that our fourth quarter 2016 – fourth quarter in 2016 was also somewhat overly strong. As such, we don’t believe comparisons between quarters – between the quarters are particularly useful. On a fully consolidated basis for the first quarter, the company delivered fully diluted EPS of NT$0.30 versus basic EPS of NT$0.33. Our packaging, testing and EMS businesses were down a 11%, 13% and 15%, respectively, while our direct materials business was up a 11%. Other revenue shown are related to real estate sales and were down to below 1% of group sales. Total revenues for the consolidated group declined 14% to TWD66.6 billion. Gross profit decreased from TWD15.4 billion to TWD12 billion with consolidated gross profit margins declining to 18%. And again, there was an approximate 0.4 percentage point decline in gross margin that was attributable to foreign exchange fluctuation. Operating expenses edged down to TWD0.5 billion, down by TWD0.5 billion to TWD6.8 billion. Despite the absolute dollar value decline, our operating expenses as a percentage of sales increased from 9.4% to 10.1%. Operating profit for the first quarter was TWD5.2 billion, down TWD2.9 billion from TWD8.1 billion in the fourth quarter. Our operating margin decreased 2.6 percentage points from 10.5% to 7.9%. During the first quarter, we had a net non-operating loss of TWD1.4 billion as versus a net non-operating gain of TWD1.5 billion the previous quarter. The current quarter’s non-operating loss includes the following: ECB-related loss from our stock movement of TWD1.3 billion, net gain related to foreign exchange and hedging activities of TWD0.2 billion, and net interest expense of TWD0.4 billion. Pre-tax profit for the first quarter was TWD3.9 billion, down from TWD9.7 billion in the fourth quarter. Income tax was TWD0.9 billion in the first quarter. The relatively high implied tax rate is the result of the ECB loss being inapplicable for the calculation of taxable income purposes. It is important to note that in the second quarter we will book our undistributed earnings tax expense of TWD0.8 billion. Net income for the first quarter was TWD2.6 billion. Page 3. Page 4, sorry. Group quarterly results on a year-over-year basis. Comparing the current quarter’s results versus the same quarter last year, our packaging, test and EMS businesses grew by 6%, 6% and 19%, while our direct materials business was flat. Other net revenues relating to real estate sales declined TWD0.6 billion. Our real estate revenue is irregular in timing and is not particularly seasonal. On a year-over-year basis, our consolidated net revenues increased by 7%. Our gross profit was up 5% to TWD12 billion. Our gross profit margin declined 0.4 percentage points to 18% from the previous year, principally as a result of the decline in real estate revenue mix and NT dollar appreciation, offset by higher loading across the majority of our business units. Without real estate included, gross margin for the group would have been 16.4% in the year-ago quarter. This would indicate a gross margin improvement of 1.6 percentage points year-over-year. Operating profit was flat with our operating margin declining 0.4 percentage points. This decline was caused primarily by revenue mix shift and NT dollar appreciation that flowed through from gross profit. Page 4, Page 5. Please note the intercompany revenues, including the SiP technology business performed by our IC packaging business unit on behalf of our EMS business unit are eliminated during consolidations. We believe the quarter-over-quarter comparison primarily shows that the business is in its seasonally soft period. Our IC ATM Group performed generally as expected this quarter. The quarterly decline is in line with typical first quarters and relatively good, given the strong fourth quarter in 2016. With that said, our IC ATM net revenue declined by 12% during the first quarter to TWD38.4 billion. Revenues for IC packaging and testing businesses declined 12% and 13%, while our direct materials business increased 4%. Again, NT dollar appreciation had a 1.2% unfavorable impact on revenues during the quarter. Gross profit was down to TWD8.8 billion, with gross profit margin coming down to 23%. The gross profit margin decline was primarily the result of lower overall loading during the seasonally down quarter with semi fixed labor and depreciation costs. In addition, foreign exchange fluctuation had a 0.6 percentage point impact on gross margins. Operating expenses decreased from TWD5.3 billion to TWD4.8 billion. Despite the absolute dollar value decline, operating expense percentage increased 0.5 percentage points to 12.6% from 12.1%. Operating profit was down to TWD4 billion. Operating margin for the first quarter was down 4.3 percentage points to 10.4%. Page 6, IC ATM year-over-year. Here you can see our year-over-year comparison for IC ATM business. We believe that the year-over-year comparison places the seasonal decline in proper context. During the quarter on a year-over-year basis, our packaging and testing businesses were up 9% and 6%, respectively, while our direct materials business was roughly flat. Our total IC ATM revenues improved 8% versus the same period last year. Gross profit was up 13% with our gross margin improving 1 percentage point from 22% to 23%, despite a negative impact from NT dollar appreciation of 2.4 percentage points. Operating income was up TWD0.8 billion, or 24% from TWD3.2 billion to TWD4 billion. Operating margin was up 1.3 percentage points from 9.1% to 10.4%. Page 7, packaging operations. In seasonally down Q1, our packaging revenue declined 12% sequentially and increased 9% year-over-year to TWD31.1 billion. Our packaging gross margin of 20.7% declined 3.4 percentage points sequentially and increased 1.6 percentage points year-over-year. As compared with the previous quarter, the sequential margin decline was primarily caused by lower seasonal loading paired with stable semi fixed costs, such as labor and depreciation. Secondarily, the margin decline was driven by NT dollar appreciation. On a sequential basis, NT dollar appreciation impacted our packaging operation by 0.5 percentage points. The improvements in year-over-year margins are a result of relatively higher loading paired with lower depreciation and raw material consumption. During the quarter, capital expenditures were US$120 million composed of wafer bump, fan-out, and copper pillar equipment at US$78 million and common SiP and wirebond equipment at US$42 million. We exited the quarter with a total of 15,963 wirebonders in operation. 8-inch bumping capacity remain unchanged at 95,000 wafers per month and 12-inch bumping capacity including fan-out and copper pillar remain unchanged at 116,000 wafers per month. Page 8, test. Test revenues of TWD6.4 billion were down 13% sequentially, and up 6% year-over-year. Test gross profit margin of 33.4% was down 5 percentage points sequentially and up 0.5 percentage points year-over-year. The decline in gross margin was primarily due to lower seasonal revenues paired with a semi fixed cost environment and secondarily, NT dollar appreciation. Overall, cost of services for test was TWD4.2 billion, declining TWD0.3 billion sequentially, but up TWD0.2 billion year-over-year. Our test utilization rate on a percentage basis declined to the low-70s. Capital expenditures for the test business was US$31 million in the first quarter. Page 9, materials operation. Revenues were sequentially down 4% and down 8% year-over-year. During the quarter, TWD892 million was from sales to external customers. This now is an 11% increase as compared to the fourth quarter. Our internal self-sufficiency rate increased slightly to 27% from 26%. Gross margins were sequentially down by 1.8 percentage points to 12%. Page 10, IC ATM revenue up by application or market segment. Here you can see the application shift during the seasonally down first quarter. During the first quarter, our Communication segment declined in accordance with the seasonal trends and the other applications made up for that. Page 11, EMS operations. Here you can see the results from our EMS business. During the first quarter, revenues for EMS business unit was TWD29.4 billion sequentially, down 15%, but up 19% year-over-year. In the same timeframe, our gross profit was TWD3.1 billion, down 13% sequentially, but up 55% year-over-year. Despite the seasonal revenue decline, our EMS gross margin increased slightly to 10.6% from 10.4% sequentially, and up 2.5 percentage points year-over-year. The sequential EMS gross margin increase was principally the result of a seasonal product mix shift away from lower margin products and streamline costs within our EMS operations. We do believe that from a total business perspective, the financial results of our EMS business appeared to be encouraging. Our rebalancing efforts appear to have a material impact, as the business units contribution to the overall group has been steadily improving. Page 12, EMS business segment mix. During the first quarter, our Communications Product segment decreased their segment share by 4 percentage points, while our Computing, Consumer and Automotive segments in combination increased their individual segment shares. These segment share moves are mostly in line with the seasonality of the underlying business products. Page 13, ASE Group balance sheet items. At the end of the quarter, we had cash, cash equivalents and current financial assets of TWD46.2 billion, increasing from TWD42.3 billion in the previous quarter. Our interest bearing debt decreased from TWD111.7 billion at the end of 2016 to TWD97.9 billion at the end of the first quarter 2017. Total unused credit lines amounted to TWD183 billion. Page 14, capital expenditures. Machinery and equipment capital expenditures for the first quarter totaled US$155 million, of which US$120 million were used in our packaging operations, US$31 million in our testing operations, and US$3 million in our EMS operations, and US$1 million in our interconnect materials operations. EBITDA for the quarter was US$377 million. For the full-year of 2017, we expect to spend capital expenditures in excess of 2016 levels, but below our depreciation and amortization levels. These expectations are subject to significant changes as business conditions are always dynamic. Looking forward, there are number of factors related to overall communications market that are impacting our businesses. We believe that some of our customers are actively controlling component inventory related to smartphones in China. This seems to indicate that the China smartphone market is taking sometime to digest inventory, after showing surprising resilience during 2016. Further, we also have noted that some end products have adjusted their launch timing not matching their previous generations launch times. Some of these times are off by weeks, some by potentially months. We believe these product launch shifts have created timing shifts in various smartphone manufacturing cycles, making cyclical comp comparisons particularly troublesome. We also don’t see the brisk upswing at the beginning of the second quarter to which we’re accustomed. The business environment appears to be stable with an upswing somewhat delayed. This paired with other and pending major product launches further out this year makes our second and third quarter outlook stand in remarkable contrast. It is unclear to us at this time when the upswing will exactly start. With that said, we believe that the business in the second quarter will run at a slightly more rapid pace than we did in the first quarter. But such pace increases maybe offset at least in part by foreign exchange rate increases in the new Taiwan dollar. And at this time, we’re conservatively assuming a new Taiwan dollar to U.S. dollar exchange rate of 30.3 off of an average exchange rate of 31.2 in the first quarter. This foreign exchange fluctuation in itself implies almost a 3% impact to sales. So with that said, our guidance – our second quarter 2017 IC ATM business and gross margin should be similar with the previous quarter. Our second quarter 2017 EMS business should be similar to the average of the second and third quarter levels, and our second quarter 2017 EMS gross margin should be similar with the previous quarter. Do we have a Q&A questions?
Q - Bill Lu: Hi, there. Bill Lu, UBS. Just a clarification on the guidance on what Ken said. It sounds like 2Q visibility maybe is a little bit weaker than it’s been historically. I wouldn’t chew what Ken said about the third quarter, is it also cloudy, or it’s different from 2Q?
Joseph Tung: The third quarter stands in remarkable contrast to the second quarter. There should be a very brisk uptick, we just not exactly sure, which month that uptick happens. But we’re pretty optimistic on the third quarter. There’s no exact number at this point.
Bill Lu: Okay. But the timing versus your previous quarters is a little bit uncertain right now, is that the point?
Joseph Tung: I think the third quarter should be – the third quarter number should be pretty reasonable. It’s the second quarter that we’re not exactly sure about. It could – things could in all potential likelihood pickup in June, but we don’t know.
Bill Lu: I see. Okay, thanks. Question on gross margin. In the first quarter, I mean, I realized there’s a currency impact. But it seems like margin is a little bit weaker. What are the factors here, obviously, loading is one factor, anything else?
Joseph Tung: Well, I think in terms of IC ATM gross profit margin, of course, the softer demand and also the loading, of course, will have an impact – a negative impact on the margin itself. But on top of that, we’re also experiencing anti-dollar appreciation, which has a – about a 0.6% impact on margin. Also in the quarter we do – we did have some one-off expenses that we need to book, including the conversation expenses that we need to incur for the right offering with a portion of the employee subscription. And also we have a – we went through a early retirement plan in Korea site and that incur some additional costs as well. There’s also a one-off expense base the – because of the, I don’t know what’s this translation is initial, a lot of the unpaid annual leads that we need to incur in expenses. So all of those add up the additional expenses for the quarter, such as the one-off items is 1.5% of total. And the additional over time expenses that we need to pay for the initial as well, that’s another 0.3%. So these are the items that had some negative impact on the margin as well on top of the lower loading.
Bill Lu: Yes. Continuing on gross margins, we’ve seen the improvements in EMS gross margins as you’ve rebalanced the portfolio, but last couple of quarters have been the low season. So as we go into the second-half of the year into the strength of the EMS business, can you talk about how do you think about margins in terms of maybe in absolute level that you want to achieve for incremental margins going forward?
Joseph Tung: Well, I think there’s no set target on the – let’s say, a 11%, 12%, I’m not saying that. We’re saying that the main focus for this year is, we need to continue our rebalancing on this material on the same business. And the main focus is really to continue to improve our margin on the EMS side. And as we – as the business progresses, I think there’s still further room for improvement. Although the NT, because the movement does not have that much of an impact on the EMSs, because most of the business is really made in China. But we still have a small portion of the business in Taiwan as well. So they may have some impact. But overall, I think, the – there’s still room for improvement and we’re optimistic that we’ll continue to make some improvement on the gross margin for you in this business.
Bill Lu: Okay. Just thinking one last one, the clarification on the MOFCOM process. So we move to a Phase 3 April 12. Is my understanding correct that Phase 3 is one month and…?
Joseph Tung: Well, Phase 1 is 30 days and then the Phase 2 is 90, and then Phase 3 is 60 days.
Bill Lu: 60 days. At the end of the 60 days, it’s either yes or no, or they are the options?
Joseph Tung: We’re actually quite comfortable with the progress that we’re making now. And hopefully, we can get everything cleared away before the expiry, which is June 11.
Bill Lu: Okay. But the government – the MOFCOM has to make a ruling by June 11, is that correct?
Joseph Tung: They can do – they can give a ruling, or they can ask you to withdraw all of the application and then we file it. There are different ways that we can handle it.
Bill Lu: Yes. Great. Thank you.
Ken Hsiang: Name and company.
Rick Hsu: Yes, excuse me, Rick Hsu from Daiwa Securities. So good afternoon.
Joseph Tung: Hi.
Rick Hsu: I guess two questions from me here. The first one as usual some housekeeping numbers, including your – I know, Ken talk about the – you told us and I just, I was too busy to copy everything. So can you run through that you see for your…?
Joseph Tung: Okay, for assembly, it’s around mid-70s for both wirebond and non-wirebond. For test, it’s low-70s. For material, it’s low to mid-70s.
Rick Hsu: Right. And…
Joseph Tung: And the – for the second quarter, it should remain very similar.
Rick Hsu: Second quarter should be similar across the Board, right?
Joseph Tung: Right.
Rick Hsu: All right. And can you talk a little bit about your capacity bill for second quarter, is going to be similar again quarter-on-quarter, or is going to be increasing on preparation for Q3?
Joseph Tung: You mean, CapEx?
Rick Hsu: Your capacity across the Board for second quarter?
Joseph Tung: Well, in terms of CapEx, I think the first quarter we have TWD155 million. I think the – in the second quarter, it will be higher – it will be a higher number for that. And that’s, as you said, is in preparation for the third quarters onwards ramp up.
Rick Hsu: Okay. The second question is, if I – there’s still any exchange fluctuation for your second quarter then I assume your IC ATM will likely grow by, maybe, as Ken said, about 3% quarter-on-quarter. But if I look at your – one of your competitors import, they also reduced number today, I think, they are looking at above to 5% to 13% quarter-on-quarter gross, but don’t if I remember that correct. So can you explain why is the difference is? Are you losing any market share, or even story?
Joseph Tung: Well, I can’t exactly speak for Amkor. But I think, the bulk of it is really because of different customer mix. I think they have a larger exposure in the Galaxy phone.
Rick Hsu: Okay. All right. Thank you so much.
Ken Hsiang: Do we have more questions locally? Yes, Randy Abrams, are you on the line?
Randy Abrams: Yes. I’m on the line. Hey, I wanted to as a follow-up clarification on the – you mentioned uncertainly our potential product push-outs. Were you referring more just to the Android over second quarter? It sounded like you’re confidence on third quarter ramping, but is there still uncertainty on timeline, or is it more locked in for the second-half, I guess, we have the apples normally ramp, but for those component builds, is that still moving around in uncertain, or is that more locked in that drive the confidence on third quarter?
Joseph Tung: I don’t think we can be very specific about customers, per se. But I think all in all what we’re looking at is, we are going through a bit softer typical second quarter because of the – there’s some inventory that needs to be worked off and also because of some delays in some of the product launch. All these we expected to be worked out by third quarter. And that’s the reason why we’re having a much more optimistic third quarter thinking that the things will start to rebound from third quarter. Although the product launch still have some [indiscernible] involved. So, we are not exactly sure when exactly in third quarter, which month exactly things will start to look up. I think that’s what we’re trying to say here.
Randy Abrams: Okay. Okay, that’s helpful. The second question I wanted to ask about the P&L packaging. More for the mobile market if you’re seeing some of those developments carry-forward for next year for still two years away. But if you could talk about your opportunities for that market?
Joseph Tung: We continue to see fan-out as a growth driver for us going forward. I think the application of it will be expanding. So we’ll continue to make our investment into fan-out and also we’re expecting quite substantial growth in our revenue – from fan-out revenue this year.
Randy Abrams: Okay. And then the last on SiP, it’s been a I think a little while for you to disclose. But I’m curious the level, like if you did percent of the EMS business now and percent of IC ATM maybe for how it is now? And if you still with the rebalancing and also moving out the loadings, if we should still expect that normal sharp second-half for the SiP business?
Joseph Tung: Let’s say, I think the overall rebalancing involves a lot of things in our SiP business, including we’re trying very hard to linearize whatever business flow that we’re getting from the – from our customers. And that seems to be what you know better for us now. So are you –is your question about the percentage of this is from SiP?
Randy Abrams: Yes. If you can the percent of, like on the EMS, ATM and consolidated levels, like where rough area where it is now?
Joseph Tung: I think in the first quarter in terms of IC ATM, it’s about 4%.
Randy Abrams: Okay.
Joseph Tung: Are you looking for EMS?
Randy Abrams: Oh, yes, and if you have an EMS and consolidated, like how that performs?
Joseph Tung: Yes, IC ATM is actually 3%. From the EMS perspective, it’s about 40-some-odd-percent.
Randy Abrams: Okay. Okay, great. Thanks a lot.
Ken Hsiang: Next caller, Charlie Chan, Morgan Stanley.
Charlie Chan: Hi, Ken. Hi, Joseph, good afternoon. So I actually want to follow-up the question regarding fan-out with all level of package. So can you elaborate what kind of income balance sheet were moved to fan-out as you still continue to see strong demand, especially I’m curious about that crossover versus software-based packaging? Thanks.
Joseph Tung: So in general, fan-out is more expensive than traditional packaging. You choose fan-out when your I/O densities are denser than what can be provided by traditional forms of packaging. So most products at this point in time are able to be serviced by bumping or copper pillar. There is an extra potential factor and fan-out. It provides a slightly thinner profile. I think it’s about maybe 10% thinner, or 15% thinner. But that’s it. But going forward, we believe that we can probably drive fan-out costs down. And when fan-out costs can actually be lower than their corresponding substrate costs, we can – fan-out should actually grow significantly at that point in time.
Charlie Chan: Okay. And my follow would be because of competition invest on foundry player. So can you I think your key depreciation, or advantage against the foundry competitor?
Joseph Tung: We – we’re a back-end player. Fan-out is a back-end service. So we’re basically running sewer pipes to and from the chip. So you don’t need to spend a lot of money on packaging, you go for the lowest-cost. So we believe we can deliver the lowest-cost. We can – we believe we have the path to deliver the lowest-cost fan-out going forward.
Charlie Chan: Okay. So just to put into perspective, if we time which quarter or which year do you think fan-out can contribute your revenue significantly and maybe you can give us some CapEx even by schedule, that would be great?
Joseph Tung: That’s not really up to us. The demand in fan-out is exactly correlated to the devices that need it. So maybe, potentially 10, 7 even sub-7 nanometer is on the foundry front. When the I/O densities get beyond what traditional packaging needs, that’s when – that’s the foreshore point at which fan-out is needed as packaging. But at this point in time, there really isn’t a lot of direct obvious need for fan-out. I mean, traditionally speaking, fan-out is used for keeping a footprint of a particular die when die shrink. So I mean, those are different types of purposes. But we don’t have a long-term time horizon in terms of exact fan-out extension. We will expand as the market needs it.
Charlie Chan: Okay. Okay, got it. Thank you very much.
Ken Hsiang: Next caller, Steven Pelayo, HSBC.
Steven Pelayo: Great. I wonder if you could talk a little bit about the second quarter. I understand, you’re guiding, I guess, up a little bit, but flattish for the currency affected Amkor did talk about half of their growth coming from the communications side and the other half coming from automotive, industrial, consumer. So I guess, as you look into this segment in the second-half, is comp kind of down and other things offsetting it or?
Joseph Tung: Can you repeat that question?
Steven Pelayo: I’m just looking at what is your outlook for the second quarter revenues by segment? Does it equal across communications, consumer, computing, because Amkor had actually said, it was fairly half the growth for them was going to come from communications, the other half was going to come from all the other things. I’m curious if you see a similar flattish environment for all end markets?
Joseph Tung: Well, as we – as I mentioned earlier on, I think Amkor has a different customer exposure than ours, where they have more exposure in the Samsung Galaxy. So there’s a bit of a difference in there. In terms of our own coverage, I think the – in the second quarter aside from a computer – computing we – other segments are kind of stable. Computer – computing for us is going to be a bit soft than the other segments. So the distribution will be slightly changed in the second quarter.
Steven Pelayo: Okay. And then when you look, last year, for example, you had kind of a flattish quarter-on-quarter second quarter, which is somewhat similar. And then you ultimately had a 16% quarter-on-quarter, third quarter. So if things are pushing out and other things are lining up, I mean, as you look to the third quarter, do you think it’ll be even better than what you saw a year ago on a sequential growth?
Ken Hsiang: Joseph, lots been answered. So, yes, I’m actually really bullish on the third quarter. But we don’t really have a number at this point, right. It’s tied to products. You have a number of products that are delaying at this point. That that could actually also impact or flow into the third quarter, as well as traditional products that normally launched that timeframe.
Joseph Tung: Having – I think, having said, that I think there’s a little bit difference between this year and last is that, in the last second quarter, or I should say, last first quarter and second quarter, the – our SiP business really decreased very, very significantly both in terms of our unit volume, as well as pricing for those services. As I mentioned early on – this year on, which we are making progress in terms of linearizing that part of the business. So I think the changes between the quarters second and third quarter this year and last year in terms of magnitude would be up a little bit different because of that factor.
Steven Pelayo: Okay, linearity looks a little bit, understand. Do you think it also been – it could mean very well that fourth quarter is seasonally stronger as well. I mean, I guess, I’m trying to ask maybe more of a full-year type outlook from you?
Joseph Tung: Well, as I said, we don’t have any numbers right now. But we try to explain that the way we look at it is, because in the second quarter the – most of the inventory, particularly in China market should be worked out. And there will be multiple product launches coming into third quarter and that give us a bit more confidence on the second quarters performance.
Steven Pelayo: Okay. And just one more question, I was reading the 20-F today for last year. And I was surprised to see your largest customer, I think, decreased by about 24% year-on-year, your expectations for that this year, do you see that that can relatively outperform the total company and?
Joseph Tung: Yes, we generally can’t comment on customers, they sue us. So, thank you.
Steven Pelayo: I’m not giving a name here, I’m just saying your largest customer? Okay, fair enough. Thank you very much.
Joseph Tung: All of them will sue us.
Steven Pelayo: Thank you, guys.
Joseph Tung: Thank you.
Ken Hsiang: Any other questions? Name and company please.
Sebastian Hou: Hello. I’m Sebastian from CLSA. So my first question is to follow on the product delay launch for your customers, which you just mentioned. Does that impact more of your IC ATM business, or EMS business in the second quarter?
Joseph Tung: Product launches. The product launches are impacting our IC ATM business at this point.
Sebastian Hou: Okay. And this the product launch delay is from several customers, or from your top five customers?
Joseph Tung: The product launches that that are delaying are more end product launches…
Sebastian Hou: Yes.
Joseph Tung: …not necessarily our customer product launches. So their particular manufacturing cycles are pushing out right? I mean, some of those numbers come in, some go out, right? So that’s what makes the quarter particularly difficult to analyze at this point.
Sebastian Hou: Okay, got it. And on your system packaging business, in last quarter you talk about that the business pipeline is pretty strong with many customer approaching they see. But it’s hard to forecast the interest of the timeline when these projects would take off involve them. And how about now too much right now/ I mean, is there – do you get any clear visibility, or still the same?
Joseph Tung: I think the situation remains the same. At this point we still have multiple customers engaging us in their different faces in different devices. And exactly when and how these products will get into the market really depends on the customer’s – their whole game play.
Sebastian Hou: Okay. Remember that your SiP product, as you use another way to describe then used to be like a security, wearable, project, interface, and subsystem-related, I remember, there are four, and how many – are you still having this for this year, or how many you have?
Joseph Tung: We generally don’t discuss customer-related information for the reason I mentioned to Steve.
Sebastian Hou: Okay. How about like from the very top down perspective? How do you see your SiP business in terms of the revenue, is going to be similar to last year, or up or down?
Joseph Tung: There will be some growth.
Sebastian Hou: There’s some growth?
Joseph Tung: Yes, in terms of revenue.
Sebastian Hou: Okay. And can you talk about your strategy on the very advanced packaging like 2.5D and 3D packaging, particularly for the high-performance computing these processors. How I think two years ago, you announced the – you have this projects with AMD and on GPU side, and any new progress and new design and pipeline projects you’re working on right now?
Joseph Tung: Our product service packaging portfolio is always expanding, the one that you mentioned with AMD. Unfortunately, it seems that there wasn’t a lot of volume there, right? But I do understand that there will be more similar type products, that’s a very interesting product. You have stacked memory with it – with a CPU with an interpose on it. Those are the next generation of packaging. So from our perspective, exciting, very interesting, not a lot of revenue yet.
Sebastian Hou: When you say exciting and interesting, are you saying from there you see this market is interesting and exciting, but you haven’t gotten there, or you already have been – that’s already in your design and pipeline?
Joseph Tung: That was our product that was our co-work product with AMD.
Sebastian Hou: Okay. I mean a top of AMD besides AMD?
Joseph Tung: We offer our package tech to all our customers, or most of our customers, or most of our tech unless it’s exclusive.
Sebastian Hou: Okay. Can I ask where do you get your interposer. Do you manufacture yourself, or you have partners? Remember, you have announced a partnership with Inotera when Inotera was still listed by two years ago, or four – three years ago?
Joseph Tung: Yes, we have them as a potential provider of interposers. There are others that can provide interposers.
Sebastian Hou: So basically, you’re getting interposer from your partners, but not doing that yourself?
Joseph Tung: Correct.
Sebastian Hou: And last one just to clarify on Randy’s questions, I didn’t hear it clearly, because you sum all the SiP account for 3% revenue for IC ATM in the first quarter? And how much percent for EMS?
Joseph Tung: We have 40%…
Ken Hsiang: 42%…
Joseph Tung: Yes, around 40%s in the 40%s.
Sebastian Hou: 40%s, okay. And in terms of the total company then that’s low…
Joseph Tung: 26%?
Sebastian Hou: 26%.
Ken Hsiang: I’m sorry hold on 18…
Joseph Tung: 18%.
Ken Hsiang: 18%, I’m sorry. We have a lot of numbers, sorry, 18%.
Sebastian Hou: Okay. Yes. Thank you.
Ken Hsiang: Any other questions? Bill, another one.
Bill Lu: Yes. Just a quick one. I think a month ago, there was an announcement about some sort of JV between you guys, Qualcomm, and the preceding government. Can you talk a little bit more about that in terms of – is that more in the IC ATM realm, or CPMS [ph] and also what is the financial arrangement?
Joseph Tung: Well, we just signed an MOU. I think, there’s still a lot of details that needs to be worked out. And there’s still a lot of preconditions that needs to be met before the whole team puts into play. I think the – this will be a 2018 and beyond event at this point. There’s really no set parameters around it in terms of financial arrangements and so on. It depends on how things progresses in the next 6 to 12 months. And I think the purpose of that JV is really to develop a SiP product for the region. And it will be a combination of IC ATM, as well as the EMS, and we will make the decision when – which unit – business unit to take the lead on that.
Bill Lu: Yes.
Ken Hsiang: We – any more questions on the floor? I have Steven Pelayo in the queue for question. I’m not sure if it’s – Steven, do you have another question?
Steven Pelayo: Yes, can you hear me?
Ken Hsiang: Yes.
Steven Pelayo: Okay, great. In talking to some of your customers here, it seems like that there may be already viewing ASE and Siliconware kind of as one. So I’m curious if that’s true, or if it’s competitive between you two has ever, or pricing more stable, any thoughts on kind of now that we’re into this, I don’t even know a year now. What’s actual behavior and how it’s changed?
Ken Hsiang: I don’t think the customers are taking us as one. I think we’re two – still two separate companies running our own businesses. There’s no any source of collaborations so far until the whole thing is cleared and approved, and we finally make the combination.
Steven Pelayo: And I guess there were some concerns that by combining you two that opened up second sourcing opportunities for other players out there. As far as you’re aware, you don’t think that that’s negatively impacted you at this point?
Ken Hsiang: So far we don’t sense any major significant changes in our business.
Steven Pelayo: Okay. Just a couple more quick ones here. Fingerprint sensors were very active of late. I’m wondering if you could just maybe give us some color in 2016? How big of a business was that for you? And maybe just some qualitative comments on your outlook for 2017?
Ken Hsiang: We can’t comment on customer devices, sorry.
Steven Pelayo: What about just directionally then, is it a growth market for you this year?
Ken Hsiang: We don’t – we can’t comment on that, sorry.
Steven Pelayo: All right. One more quick one here, Kingboard is out there talking a lot about rising copper foil laminate costs. I’m just curious on the material side. Are you seeing any potential impacts? We’re seeing in the foundry side, for example, in raw wafers, are you seeing anywhere in the back inside?
Joseph Tung: That hasn’t crossed my desk yet. But I would, I guess, I will look into that.
Steven Pelayo: Okay. Actually I’m going to sneak in a couple more. Companies like Paradigm and Be Semiconductor were guiding the revenues up 50% quarter-on-quarter. Is that kind of what we should expect in your capital spending, as well as the kind of growth that you’re thinking, how lumpy, I guess, is the linearity of your annual CapEx plan?
Joseph Tung: I mentioned that our capital spending, it should be above last year’s capital spending, but below our depreciation and amortization.
Steven Pelayo: In terms of quarterly linearity, you mentioned that the second quarter should go up, I’m trying to understand the magnitude. Is it a very large lump of the annual budget that you spent in 2Q, or is it a fairly steady number?
Joseph Tung: Well, second quarter will be the highest in the quarter we’re spending for the year.
Steven Pelayo: Okay. And then lastly, maybe you could talk a little bit about China customers, your China operations. I know Chinese smartphones are going through that these excess inventories correction. But I’m just curious about your thoughts on your positioning the competitive landscape, demand there, pricing, technology roadmaps, even Amkor has a lot of dense capacity in China. So can you talk just a little bit more about the market in China and your own operations and strategy?
Joseph Tung: Well, I think from a high-level point of view is that, China is becoming a rapidly expanding market. I think going forward, I think, it’s almost necessary for us to maybe expand our operation in China, so as to meet the demand there. And there’s also a lot of new fab investments into China that will eventually need more back-end support. And so we’re seeing China market as a very good – as a very good potential. And we will be putting more efforts in the investment into China, along with the overall market growth in that area.
Steven Pelayo: Can you remind me the percentage of revenues from China headquartered companies?
Joseph Tung: It’s about 6%.
Steven Pelayo: 6%, okay. And then last question just from a financial perspective. I’m curious what – exiting 2017, what’s the balance sheet going to look like? I’m a little unclear about kind of capital structure eventually here?
Joseph Tung: Well, if the transaction goes through then there will be additional borrowing up to about TWD$3.5 billion. And at that point, I think, the overall net debt-to-equity ratio will be closing down about 90%, 95%, up from above 30% something at this point. So we – there’s going to be quite a large funding needs and also our leverage will be significantly increased. That’s part of the reason why this time around, our dividend, it’s a payout, it’s a bit lower than previous year. So reserve some more cash for funding these.
Steven Pelayo: Great. Thanks for patiently answering all my questions.
Joseph Tung: You’re welcome.
Ken Hsiang: Thanks. We have one more from Sebastian, just one right?
Steven Pelayo: Sorry, I need to come back to the product again. So, ken, are you very positive on the third quarter? You say, you’re very bullish. And you talk about the that end product the way impacts your IC ATM business mainly in the second quarter? So and you see – so which means that these will translate into third quarter revenue, and also you need it – you also have EMS, so which means that both IC ATM delay from 2Q to 3Q plus EMS in the quarter together will give you a very strong third quarter revenue. And does that imply your expectation for that end product delay, won’t postpone your EMS growth from third quarter to fourth quarter?
Joseph Tung: The product delays are in general, they’re not referring to any particular customer. But if you just look at various products at this point in time, there were products that were launched now this time last year, but aren’t launched now this time this year. So I don’t think, I think you may be stretching that particular comment out a little bit too much there. But in terms of what we see, the timing of end products are definitely impacting overall manufacturing cycles.
Sebastian Hou: All right. Second follow-up is to – how do you see the pricing environment for this year? Remember the first quarter last year, there’s a pricing reset and that impact your margin and also SPIL’s margins. How about the pricing enrollment for this year? Do we also have to come to pricing reset for this year, or the magnitudes compared to last year’s milder, smaller or bigger?
Joseph Tung: I think we’re – this year we’re going through to a normal price talks typically on the quality basis. So I think the – in terms of overall pricing environment, I think this year is quite stable and normal.
Sebastian Hou: So better than last year relatively, okay. Last one, and Joseph you mentioned that the computing in the second quarter would be slower than the others, which means the other applications are actually still growing?
Joseph Tung: That’s really based on our own portfolio – our forecast and this – it’s sometimes customer specific, because the customer give us a forecast in the each – selective customers up and does have an impact on our overall portfolio performance. So what we’re saying is, we’re looking at our own forecast and looking at those customers forecast, there is ups and downs. And it seems that even though customers in the computing area, the forecast seems to be weaker than the others.
Sebastian Hou: All right. Thank you.
Ken Hsiang: Any other questions? Now, thank you for attending the first quarter 2017 earnings release.
Joseph Tung: Thank you very much.